Operator: Hello. And welcome to the Robert Half First Quarter 2014 Conference Call. Our hosts for today's call are Mr. Max Messmer, Chairman and CEO of Robert Half; and Mr. Keith Waddell, Vice Chairman, President and Chief Financial Officer. Mr. Messmer, you may begin.
Max Messmer: Thank you, and hello, everyone. We appreciate your time today. Before we begin we would like to remind you that comments made on today’s call contain predictions, estimates and other forward-looking statements. These statements represent our current judgment of what the future holds and include words such as forecast, estimate, project, expect, believe, guidance and similar expressions. We believe these remarks to be reasonable, but they are subject to risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. Some of these risks and uncertainties are described in today's press release and in our SEC filings, including our 10-Ks, 10-Qs and today's 8-K. We assume no obligation to update statements made on today's call. Beginning this quarter, we are publishing our prepared remarks for this conference call at the same time the quarterly earnings statement is released. The prepared remarks were included with today’s press release and are available on the Robert Half website by using the quarterly conference calls link on the homepage of the Investor Center. Now let’s discuss the first quarter. First quarter revenues were $1.08 billion, up 6% year-over-year. Income per share was $0.45, up $0.12 -- 12% from one year ago. Cash flow from operations was $59 million during the first quarter and capital expenditures were $12 million. Our Board of Directors increased the company’s quarterly cash dividend by $0.02 per share during the quarter to $0.18. The dividend was paid to shareholders on March 14, 2014 at a cost of $24 million. We started paying a cash dividend 10 years ago and have increased it annually. We repurchased 800,000 Robert Half shares during the first quarter at a cost of $33 million, approximately 7.3 million shares remain available for repurchase under our Board-approved stock repurchase plan. We were pleased with the company’s operating results for the first quarter. We saw strong demand in all areas of the business, especially in the latter part of the quarter. Growth was strongest in our Protiviti, technology staffing and permanent placement divisions. Non-U.S. operations also improved, particularly permanent placement services, which reported solid sequential and year-over-year revenue gains during the quarter. This was Robert Half’s 16th consecutive quarter of double-digit net income and earnings per share growth on a year-over-year basis. Our unlevered return on equity was 27% for the quarter. Now, I will turn the call over to Keith for more detail review of our first quarter financial results.
Keith Waddell: Thank you, Max. Global revenues were $1.08 billion in the first quarter. This is up 6% from the first quarter one year ago on both a reported and same-day constant-currency basis. Global staffing revenues were up 5% on a same-day constant-currency basis. U.S. staffing revenues were $720 million in the first quarter, up 6% on a same-day basis. International staffing revenues were $230 million in the first quarter, up 1% on a same-day constant-currency basis. We have 342 staffing locations worldwide, including 99 locations in 18 countries outside the U.S. We had 62.4 billing days in the first quarter, compared to 62.2 in the first quarter of 2013. This had the effect of increasing reported year-over-year staffing growth rates by 0.5%. The current quarter has 63.2 billing days, compared to 63.5 billing days in the year ago quarter. Currency exchange rates reduced first quarter year-over-year staffing revenues by $2 million. The strengthening of the euro and pound sterling were more than offset by weaknesses in the Canadian and Australian dollars. This reduced year-over-year reported staffing growth rates by 0.2% in the first quarter. We provide a supplemental schedule with our earnings release that shows year-over-year revenue growth rates for our various staffing lines of business on a reported basis, as well as on a same-day constant-currency basis. The schedule further divides the data between U.S. and non-U.S. operations. You can find the schedule in today’s press release and in the Investor Center of our website. This is a non-GAAP financial measure. We provide it to give you information on certain revenue trends in our staffing operations. Global revenues for Protiviti were $134 million in the first quarter, with $108 million in revenues in the United States and $26 million in revenues outside the U.S. Global revenues for Protiviti were up 15% year-over-year, with U.S. revenues up 19% and non-U.S. revenues flat with the prior year. Protiviti and its independently owned Member Firms serve clients through a network of 75 locations in 25 countries. Turning now to gross margin, in our temporary and consulting staffing operations, gross margin was 36.1% of applicable revenues. This is the same as the prior year’s first quarter. First quarter revenues for our permanent placement operations were 9.7% of overall staffing revenues, compared to 9.2% of staffing revenues in the first quarter a year ago. Together with the temporary and consulting gross margin previously discussed, overall staffing gross margin expanded by 40 basis points versus one year ago to 42.3%. First quarter gross margin for Protiviti was $37 million, or 27.4% of Protiviti revenues, compared to $30 million or 25.7% of Protiviti revenues one year ago. The increase is due primarily to higher staff utilization. Staffing SG&A costs were 32.3% of staffing revenues in the first quarter versus 32.5% in the first quarter of 2013. SG&A costs for Protiviti were 21.9% of Protiviti revenues in the first quarter versus 22.5% of Protiviti revenues reported this time last year. Operating income from our staffing divisions was $95 million in the first quarter or 10% of staffing revenues. The temporary and consulting divisions reported $78 million in operating income or 9% of applicable revenues. Operating income for our permanent placement division was $17 million in the first quarter or 18.7% of applicable revenues. First quarter operating profit for Protiviti was $7 million or 5.5% of Protiviti revenues, compared to $4 million or 3.2% of revenues in the first quarter one year ago. Protiviti operating profit increased 96% over the prior year. Our first quarter 2014 income tax rate increased to 39.7%, up from 37.5% in the first quarter of 2013. This was primarily due to fewer available unused foreign tax benefits. The higher tax rate lowered our first quarter results by approximately $0.02 per share. At the end of the first quarter, accounts receivable were $587 million. Implied days sales outstanding DSO was 49.3 days, compared to 48.7 days at the end of the first quarter of 2013. And now for second-quarter guidance, we saw the following trends in the first quarter and so far in April. In the U.S., year-over-year growth rates for our temporary and consulting divisions decelerated in January, accelerated in February and accelerated at an even faster pace in March. Also in the U.S., year-over-year growth rates for our permanent placement division accelerated in January, accelerated again in February and slowed slightly in March. Outside the U.S., year-over-year temporary and consulting staffing growth rates decelerated in January, accelerated in February turning positive, and stayed positive in March. Permanent placement growth rates outside the U.S. decelerated in January, accelerated in February and remained at February levels in March. For the first two weeks of April, revenues for our temporary and consulting operations were up 9% on a same-day, constant-currency basis compared to the same period last year, with U.S. temporary and consulting revenues up 10% and non-U.S. temporary and consulting revenues up 5%. For the first three weeks of April, permanent placement revenues were up 14% on a same-day, constant-currency basis compared to the same period last year, with U.S. perm revenues up 24% and non-U.S. perm revenues down 4%. We provide this information with the caveat that it is difficult to read a great deal into these trends given the short time periods they represent. We offer the following second quarter guidance, revenues, $1.11 billion to $1.16 billion, income per share, $0.48 to $0.53. We limit our guidance to one quarter. All estimates we provide on this call are subject to the risks mentioned in today’s press release and in our SEC filings. Now, I’ll turn the call back to Max.
Max Messmer: Thank you, Keith. Demand for our professional staffing services and Protiviti consulting solutions remained solid during the first quarter, with growth rates accelerating in March and so far in April. We were also pleased to see higher staffing demand outside the United States, including Europe. In the United States, the unemployment rate for college-educated workers 25 years of age and older, which we view as an indicator of professional-level demand is 3.4%. U.S. jobless claims have approached a seven-year low. The first quarter saw the number of temporary workers as a percentage of total U.S. employment exceed the all-time high established in 2000. More and more businesses appreciate the value of interim staff to better manage variable workloads and specialized project demands. We work with companies of all sizes, but Robert Half is a particularly smart staffing option for small and midsize businesses. The cost of a bad hiring decision can affect these companies disproportionately compared to larger firms that may have a deeper bench of workers from which to draw. Our clients value our personal service approach, our expertise at assessing skills and our deep talent networks. Protiviti is serving and expanding client base. All of Protiviti’s key services grew nicely during the quarter, most notably IT consulting, risk and compliance, and internal audit. Client demand was driven by improving market conditions and a more stringent regulatory environment. At this time, we will be happy to answer questions. We would request that you please limit yourself as usual to one question and a single follow-up, as needed. If time permits, we will try to return to you later in the call if you have additional questions. Thank you.
Operator: (Operator Instructions) Your first question comes from the line of Mark Marcon with Robert W. Baird. Your line is open.
Mark Marcon - Robert W. Baird: Good afternoon and thanks for taking my question. My question revolves around the temp staffing trends that you were seeing by segment. It was nice to see the continued improvement on Accountemps. I was wondering if you could talk little bit about your experiences from a cyclical perspective in terms of the driver, in terms of the resumption to year-over-year growth on the Accountemp side and how you would expect that to play out as the year unfolds? And then secondly, as it relates to RH Technology against solid comps, we saw little bit of deceleration. I was wondering if there is any color that you could provide there as well. Thank you.
Max Messmer: Okay. From a cyclical perspective, so first of all, as we look through the quarter, January, February were clearly revenue, weather impacted. We would estimate that weather reduced our growth rates on the temp side by about 1%. We then look at March. March was a very solid quarter. As we talked about those growth rates accelerated very nicely into the first two weeks of April. I guess, cyclically we were also encouraged by, we saw rising pay rates for our temporary staff which in turn rising bill rates. Our bill rates were up 2.6% year-over-year this quarter and that compares to 1.7%. So we were encouraged that we’re starting to see some wage inflation which is usually indicative as you’re beginning to start the growth part of the cycle in earnest. The Accountemps acceleration you saw are adjusted for weather is about in line with what we talked about for the absence of foreclosure look back the prior year. When you look at Robert Half Technology, the deceleration I think is a little misleading because the prior quarter, it’s year-ago comparison was quite easy. If you take a look at the fourth quarter of ‘12 versus the third quarter of ‘12 and the first quarter of ‘13, you will see that that wasn’t the easiest comparison of the year. So given the more difficult comparison, I think Robert Half Technology growth rates are more understandable and still among the best we reported for the quarter.
Mark Marcon - Robert W. Baird: And if we adjust for the weather, then we're probably looking at something that would be north of double digits?
Harold Max Messmer: That’s correct.
Mark Marcon - Robert W. Baird: Great. And then can you talk a little bit about Protiviti, I mean, obviously great progress there. Can you talk a little bit more about the outlook as we think about the next 12 to 24 months?
Keith Waddell: Well, I’d say Protiviti was the continuation of very good trends we’ve seen for a few quarters. Internal audit was quite strong. We talked about PCAOV inspections that are dictating more audit work which trickles down their internal audit. We’ve talked about more IPOs which is more public company readiness work for Protiviti as well as internal audit co-sourcing and outsourcing thereafter. We’ve talked about risk and compliance particularly in the financial services industry, anti-money laundering, model validation. We’ve also talked about IT security business continuity, all remain strong. All the trends remained intact that we’ve talked about for the last couple of quarters. And as we talked to our people at Protiviti, their outlook would remain as positive going throughout 2014 as it has been in the last few quarters.
Mark Marcon - Robert W. Baird: Terrific. Thank you.
Operator: Your next question comes from the line of Andrew Steinerman with J.P. Morgan. Please go ahead.
Andrew Steinerman - J.P. Morgan: Hi. Keith, maybe you can help us a little bit squaring away the April trends that you gave. And I know that doesn't include Protiviti to the middle of guidance. So if you look at the middle of second quarter guidance, that's up about 7% year-over-year. And I know that's on a reported basis, that's why I'm asking about it. But when you look at the April trends in the temp side, it was 9% and on perm it was 10%. How do you aggregate that up and kind of get to the middle range of your guidance, thinking about days and currency and any other factors?
Keith Waddell: So our guidance certainly relative to our April start is quite conservative. So one way to look at guidance is for the first quarter, Justin did on the staff side same day constant currency we grew at 4.5%. At the midpoint that grows to 6.5%. And that 6.5% looks a lot more like March than it does to start in April. So I thought was given that our April start while we are static about and it’s the best growth we’ve seen in years frankly. What we did was we targeted our midpoint to the growth we saw in March, which was the non-weather impacted month during the quarter.
Andrew Steinerman - J.P. Morgan: Yes. That makes sense. And then just make a comment on Protiviti in the second quarter, what would be included in the guidance, would it be similar year-over-year growth that it was in the first quarter?
Max Messmer: The guidance for Protiviti, again as the comparisons in Protiviti are the toughest that we have, we would have those growth rate slowing a little bit but still say staying nicely double digit.
Andrew Steinerman - J.P. Morgan: Okay. Thank you.
Operator: Your next question comes from the line of Tim McHugh with William Blair & Co. Please go ahead.
Tim McHugh - William Blair & Co.: Yes. Thank you. First, just on the SG&A leverage at this point, SG&A for the staffing operations were down a little bit and I know you have been -- you're kind of investing ahead of growth, which now you seem to be having. I guess how should we think about it from this point? Are you -- I guess were you pulling back on some investments? And I guess as growth picks up, do you double down investment, invest -- reverse that and invest even more, or will you kind of leverage it, just trying to think about SG&A leverage the next year or so?
Max Messmer: So we talked on the last call and prior about how we front ended to some extent our headcount investments in the middle part of 2013. So for the first quarter of this year, we hold our headcounts pretty flat. So you got some leverage from headcounts being flat. In the aggregate, SG&A came down a little bit, primarily because of things like travel, meals, printing, those kinds of costs in the fourth quarter are typically higher. It’s budget season, it’s holiday time, you’re printing stuff for the following year. So it was those costs that came down on an absolute basis. If you look at our payroll costs for our staff, they were pretty flat. As we go forward in the second quarter and the rest of the year, the thought is we will continue -- we will begin to add staff again but not disproportionately to the growth we expect. So the staff we expect at, at least in the second quarter we expect to be commensurate with the revenue growth, that’s implicit in our guidance, which would say SG&A, we should get a little leverage just because we are going to lever the fixed cost more with growth. But from a payroll standpoint as a percent of revenue that should stay pretty constant.
Tim McHugh - William Blair & Co.: Okay. And then, I guess, just as we, I guess, go forward, where in high level are we with kind of IT staffing investment that you’ve talked about the last few years in terms of building out a bigger overhead. Have we seen enough growth to absorb that, or is that still an overhead cost that we need to grow into more the next year, two year?
Max Messmer: Well, we have invested more in our internal IT staffing headcount. We think that’s paid off nicely. I would say our investments from this point on would be more commensurate with the revenue growth, which still remains double digit, but it will be as outsized to revenue growth as that’s been in the past. We still have a bit of a operating income drag from technology as it has a relatively higher headcount than our other divisions, but we think that’s money well spend.
Tim McHugh - William Blair & Co.: So, I mean, I guess, altogether, do you think SG&A expense for the temp and perm businesses, is that’s the part as I look at the income statement where you still seem to have a fair amount of leverage relative to the prior peak. Do you think I guess over the next, as you started to see growth pick up, is the prior peak in terms of SG&A as a percentage of revenue a reasonable number that you might be able to get to as growth is better?
Max Messmer: We are hopeful we can do better than we were at a prior peak, but we would be very disappointed if we don’t do at least as well.
Tim McHugh - William Blair & Co.: Okay, thank you.
Operator: Your next question comes from the line of Jeff Silber of BMO Capital Markets. Your line is open.
Jeff Silber - BMO Capital Markets: Thanks so much. Just wanted to go back to Protiviti, it looked like you had some diverging trends where U.S. growth was fairly strong and international business was flat, can you just give us a little bit more color what was going on in the different regions?
Keith Waddell: So the U.S. was particularly strong. The U.S. has much more diversified revenue sources than does international. They have more exposure to FSI risk and regulatory. They have more exposure to IT security. And so because they have more exposure to those high growth areas, you're going to see more growth in the U.S. than outside the U.S. We continue to do reasonably well in Europe, our challenges remain in Asia. We're making progress in Asia, but there is more progress to be made.
Jeff Silber - BMO Capital Markets: All right, fair enough. And just a couple quick modeling questions, which would be using for tax rate for the rest of the year and what are you budgeting for capital spending? Thanks.
Keith Waddell: Tax rate kind of mid 39% in that range. It's higher as we’ve said because the foreign tax credits that we had last year have been absorbed. CapEx, we talked about $60 million to $65 million for the year that will be a little back ended. So it might be a little light to first half, but we'll catch it up in the second half, but it's in that range.
Jeff Silber - BMO Capital Markets: All right, great. Thanks so much Keith.
Operator: Your next question comes from the line of Sara Gubins with Bank of America Merrill Lynch. Please go ahead.
Sara Gubins - Bank of America Merrill Lynch: Thank you. Inside of perm fees, how are temp to perm fees trending?
Max Messmer: Temp to perm is pretty stable. We've talked about traditionally it's a range of 3% to 5% of revenue in each of our temp lines of business. We've been bumping along around 3% for many quarters and there wasn't much change during the quarter. We're very pleased that if you look at our pay bill spreads, our pay bill spreads are essentially back at peak levels. What is in back at peak levels are temp to perm conversion and further we're carrying a higher fringe costs today than at peak levels, because as you know for staking federal unemployment there is a lag between the cleans and your rate. So we still have a much higher state and federal unemployment costs today that we did the peak and I think there is about a 50 basis point differential which should be some upside as the cycle improves. So with the combination or conversions and less fringe or unemployment costs we feel like we've got some upside in gross margin and that's assume we don't make anymore progress with pay bill spreads which we will certainly attempt to. And as pay rates begin to rise which we're starting to see that typically is the backdrop where we expand our pay bill spreads. So a lot of good news on the cycle front with the progression during the quarter and then we're just delighted with the first couple of weeks of April.
Sara Gubins - Bank of America Merrill Lynch: Great. And then question on gross margins in temp staffing. You have more the international today than in the past. So I'm wondering if you think about gross margin potential for temp staffing over time, would you expect to go back to prior peak, how does international impact that?
Max Messmer: Well, I guess, the comments I may hold globally, our gross margins are a bit higher in the U.S., but as you look at the future growth non-U.S., it's going to be concentrated in companies like Germany and Belgium that have higher than non-U.S. average margins, and therefore if anything mix would be your friend relative to status quo. So I certainly don't expect a drag on gross margin expansion because of non-U.S. mix given the countries we expect that growth to occur.
Sara Gubins - Bank of America Merrill Lynch: Okay. Thank you.
Operator: Your next question comes from the line of Paul Ginocchio with Deutsche Bank. Your line is open.
Paul Ginocchio - Deutsche Bank: Thanks. Just one clarification you talked about the build rate up 2.6% than you made another come about 1.7%, was 1.7% the last quarter?
Keith Waddell: It was last quarter's increase year-over-year. So fourth quarter is up 1.7, first quarter is up 2.6 and pay rates are up commensurately. So we're starting to see some pay rate increases in earnest as the candidate situation begins to tighten or having to pay more, we're seeing higher pay rates, we're seeing higher build rates the passes that on and we think that's a good sign relative to the cycle.
Paul Ginocchio - Deutsche Bank: Great. And just quick on, I know it's not a big part of your business at the mortgage processing. When do the comps get a lot easier mortgage processing, is that in the third quarter?
Keith Waddell: Well, so let's split mortgage in the two distinct pieces, one was in the full closure look back and we anniversary that in early January. The other is refinancing ordinary course. So that's drifted down a bit, the last few quarters, but it has -- it had anywhere near the cliff impact that the full closure look back has. It was a little bit of headwind for accountants during the quarter, but nothing like the full closure look back.
Paul Ginocchio - Deutsche Bank: Right. And it based on the run rate now when is it no longer become headwind?
Keith Waddell: Well, again, I don't, it wouldn't otherwise register such they we're not going to make a deal that of it. But it did drift down a bit in the first quarter.
Paul Ginocchio - Deutsche Bank: Thank you.
Operator: Your next question comes from the line of Hamzah Mazari with Credit Suisse. Please go ahead.
Anj Singh - Credit Suisse: Hello. This is Anj Singh dialing in for Hamzah Mazari. I was wondering if you could give us an update on ACA and if there is any further activity you're seeing there beyond what you saw with healthcare providers and insurance company last quarter?
Max Messmer: There is not a lot of update, as you know the lock at deferred so for employers between 50 and 99 they don't have to comply now until January of 16th rather than January of 15th. So the strategy to stay below 50 for company's close essentially got push back for yet another year. So we've seen a little activity there but not much. As we talked about last quarter primarily in office team, primarily in customer service, we have seen some demand from both the exchanges and from insurance carriers that demand continued in the first quarter. But it doesn't move the needle in a major way.
Anj Singh - Credit Suisse: Okay. That's helpful. Thank you. And then as a follow-up, on the perm growth, how sustainable do you see that trend being and can you call out any particular pockets of strength there? And also do you still have the same view on your headcount investments on the perm side of the business you did prior or is there any change to that?
Keith Waddell: Well, it's not a typical that a perm gets hit harder on a down cycle and grows more rapidly back to prior peaks. So as we seat here today we’re at 90% of peak on the temp side, we’re at 80% of peak on the perm side, that's globally. U.S. is obviously better. But the point is, it's not at all unusual to see perm outgrowing temp given where we are in the cycle and we're not a bit afraid to invest in headcount in perm as we've talked about in the past. But it's an investment that we think will be commenced with the revenues we expect.
Anj Singh - Credit Suisse: Okay. That's helpful. Thank you.
Operator: Your next question comes from the line of Tobey Sommer with SunTrust. Your line is open.
Tobey Sommer - SunTrust: Thanks. I know most of your customer concentration is focused on smaller and mid-sized businesses. Are you seeing any distinguishing futures of demand by customer size to the limited extent you have exposure to larger businesses?
Max Messmer: We have some exposure to larger businesses but it’s usually in small quantities or smaller number of temporaries per client than many of the other staffing firms. We know best the small to mid size market. We clearly saw strengthening during the course of the quarter, adjusted for weather, look at March on a standalone basis, look at the start of April. So clearly with our sweet spot, we see broad-based improving demand. I would particularly call out Accountemps, OfficeTeam, Management Resources. Those saw a lot of strengthening to latter part of March and the early part of April, for which we’re delighted by us, I said earlier. So while we do business with larger firms in smaller quantities and what we know best is small to mid size and it’s the best trend in demand, small to mid size we’ve seen in several quarters.
Tobey Sommer - SunTrust: Is there any discernible variation in the duration of your assignments or perhaps said a different way strengthening in demand of assignments and professionals engaged in longer term projects?
Max Messmer: Our mix, the duration of our assignments overall hasn’t change dramatically and nor has the mix between small to middle sized businesses and semi larger firms. So I don’t think there’s any discernible trend or change that we would call out.
Tobey Sommer - SunTrust: Thank you very much.
Operator: Your next question comes from the line of Gary Bisbee with RBC. Please go ahead.
Gary Bisbee - RBC: Hi, good afternoon. Could you give us a sense of how much of the productivity revenue base now is outside of the historical and I guess still core F&A area. Is IT -- you’ve said a few -- over the last few quarters that audit actually has been among the strongest areas but if the mix of IT in the financial compliance is risen sharply in the last couple of years?
Max Messmer: Well, certainly, IT and the risk and compliance have come on but the last couple of quarters, internal audit has been even stronger, such that there when you look at our mix of business between the two, it hasn’t changed dramatically. The largest single segment is internal audit, financial advisory, which would also includes some Sarbanes-Oxley but IT consulting and risk and compliance have made meaningful contributions.
Gary Bisbee - RBC: Okay.
Max Messmer: They’ve all been good. So the relative size of each hasn’t changed much because they’ve all been good.
Gary Bisbee - RBC: Okay. All right, fair enough. And then on the perm margins, they were the strongest they’ve been in a while. I assume that just the slow down in headcount growth. But as you grow in line with revenues, you talked about for the next quarter so is this a good area to be in, this 18.7% operating margin or could that number sort of over, maybe a little higher than it should be because of the no headcount growth this quarter and then it comes down?
Keith Waddell: I’d say mid to high teams should be a sustainable level as long as we gauge headcount additions to anticipated growth rates. If we decide to get more aggressive and add even more heads which would be a good sign, might it drift down from there. But mid-to-high teens, if you look back to history, isn’t a bad run rate operating margin for perm.
Gary Bisbee - RBC: Okay. Fair enough. Thank you.
Operator: We have just one caller left in the queue, so this will be the last call of question for the day. Your next question comes from the line of Randle Reece with Avondale Partners. Your line is open.
Randle Reece - Avondale Partners: Afternoon. It seems like a lot of recruiters around the country attribute efficiency gains to technology they’ve implemented. And I have to -- it doesn’t seem to be stranger to that. Do you think that between that and some price compression say in some of the areas like online advertising, have we seen the best that we are going to see as far as those cost improvements go?
Max Messmer: Well, Randy, we spend a lot of time internally looking at how technology can better enable our people to do their jobs. And I would say, we’re optimistic that we can get some further efficiency gains from technology investments we’re making today. Some of which relates to how we recruit candidate, some relates to how we determine, which leads are most actionable. The online advertising, cost savings are there, but they don’t move the needle. But at the end of the day, we’re optimistic that our people can get more productive with the assist they can get with technology. But let’s not forget at the end of the day, somebody has to close the deal. And we’ve yet to find a new technology that’s very good at closing.
Randle Reece - Avondale Partners: That’s something that stuck out in our research. By our count, there are fewer people in corporate America responsible for recruiting now than there were in 2007 and we're back to similar employment levels, but the hiring pace has been slow. It looks like hiring and recruiting is still a very labor intensive business regardless of the technology you apply. Do you think that there is going to be a little bit more opportunity this time around as the labor market recovers because customers are so lean in HR?
Max Messmer: Well, I think, it is correct that they’re leaner and I think our client size has never made the investment in internal HR that other companies have anyway because they rely on companies like us for that purpose. So, I do think, you could make a case that there is more upside as we move forward because the starting point has a leaner client investment in HR. But I'll also believe that we can get efficiency gains and have our people spend more time closing than identifying the population of candidates to determine, which is the best fit for our clients.
Randle Reece - Avondale Partners: Very good. Thank you very much.
Max Messmer: That was our last question. We would like to thank you again for joining us on today’s call.
Operator: This concludes today's teleconference. If you missed any part of the call, it will be archived in audio format in the Investor Center of Robert Half website at www.roberthalf.com. You can also dial the conference call replay. Dial-in details and Conference ID are contained in the company’s press release issued earlier today.